Operator: Ladies, and gentlemen, good morning, and welcome to the Energy Vault Third Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded. It is now pleasure to introduce your host, Laurence Alexander. Thank you, sir. You may begin.
Laurence Alexander: Thank you and good morning, and welcome to Energy Vault's third quarter 2022 earnings conference call. As a reminder, Energy Vault's earnings release and an updated third quarter earnings presentation is available on our investor website. And we will be referring to the presentation during this call. A replay of this call will be available later today on the Investor Relations page of our website. This call is now being recorded. If you object in any way, please disconnect now. Please note that Energy Vault earnings release in this call contains forward-looking statements that are subject to risks and uncertainties. These forward-looking statements are only estimates and may differ materially from the actual future events or results due to a variety of factors. We caution everyone to be guided in the analysis of Energy Vault by referring to our 10-Q filing for a list of factors that could cause our results to differ from those anticipated in any forward-looking statement. We undertake no obligation to publicly update or revise any forward-looking statements, except as required by law. In addition, please note that we'll be presenting and discussing certain non-GAAP information. Please refer to the Safe Harbor disclaimer, and non-GAAP financial measures presented in our earnings release for more details, including a reconciliation to comparable GAAP measures. Joining me today on the call is Robert Piconi, our Chairman and Chief Executive Officer; and David Hitchcock, our Interim Chief Financial Officer. And Jan Kees van Gaalen, our new appointed Chief Financial Officer. At this time, I'd like to turn the call over to Robert Piconi.
Robert Piconi : Thank you, Laurence. And I'd like to welcome everyone to our third quarter 2022 financial results conference call. We have a lot to share today and real excited about around our commercial and operational progress, as well as a myriad of new customer project awards. But I want to start my remarks by first welcoming our new Chief Financial Officer, Jan Kees van Gaalen. Many of you might be familiar with Jan Kees, if you're in this industry as he comes to us with extensive financial leadership experience directly in the energy industry in a career spanning 35 years across 20 plus countries around the globe, the Energy Vault team and I are looking forward to work with Jan Kees and the contributions he will make as we expand our global infrastructure, fortify our financial and cash discipline within our rapid growth envelope and continue to build the institutional investor relationships as we meet our commitments, and execute our plans. I'd also like to thank David Hitchcock, who's sitting here with me for all support the last six months on an interim basis post our successful IPO earlier this year. It's never easy to have an accomplished CFO like David come out of retirement to work in a public company role again. But I've really appreciated David's contributions at this stage of the company's growth to ensure we continue our focus on sound financial management practices, while pursuing profitable growth in both our commercial and operational ramp up this year. So thank you, David for that.
David Hitchcock: Welcome.
Robert Piconi: Given both the size and technology diversity of the new project awards that we are announcing today, I thought it would start with a refresher on our strategy within a framework of the last 12 months of execution and the public announcements and why it's differentiated to our customers. I would then like to discuss our recent project contract signings and awards that you may have seen announced in our press release. As you can see on slide 5 of our earnings presentation, which for the first time, we're giving some segmentation to our bookings, shortlisting and final project awards. We converted nearly 500 megawatt hours of prior project awards announced last quarter to signed booked orders. In addition, the commercial team executed on over two gigawatt hours of new project awards in the quarter, including our first long duration hybrid system, a 300-megawatt hour battery and green hydrogen project utility scale supporting a 48-hour storage duration with a large western public utility. That brings our total signed contracts and customer project awards now to a total of 4.8 gigawatt hours, representing approximately $2 billion of potential revenue as we convert the awards to contract as we did last quarter. To put that number into perspective, Bloomberg, New Energy Finance expects 35 gigawatt hours of energy storage systems to be deployed in 2022. This is where our focus on project size and scale really begins to shine. We expect to continue the rapid pace of new project awards and subsequent contract conversion, given the global customer demand. And as you'll see reflected on page 5 of the investor presentation, showing a total of 15.5 gigawatt hours of submitted proposals, and shortlisted status alone. The numbers really tell the story here. When you factor in the rate of growth we are delivering and new project awards, the large size and scale of each individual project, and the technology diversification across energy storage mediums, you can get a quick sense of the market adoption and readiness that reflects our product differentiation, and software capabilities, it’s a strong validation of our solutions-based approach. Let's spend a little bit of time now talking about long versus short duration. We always get a lot of questions here, especially with the development evolution of our strategy. Fundamentally, our strategy and its success revolve around solving customer problems. It's really all about that, and the immense transition they are going through. Uniquely our customers include not only public utilities, and independent power providers, but also some of the largest industrial energy users and enterprises in their respective industry sectors that are transitioning away from fossil fuel-based energy to renewables. Many of these customers like Korea Zinc, Arc Energy, BHP and Saudi Aramco are also investors in Energy Vault, and we leverage their strategic insights into our technology roadmap through our strategic advisory board, which convenes quarterly. One thing has been clear through all of our customer interactions since we started this company, and we listen to our customers, there is no silver bullet in energy storage. And most customers will be deploying multiple forms of short and long duration storage supporting different applications. Hence the important role that software will play in the overall management and distribution of energy. Now to be clear, that doesn't mean that we have to be everything to everyone, hence the role of software. Over one year ago, we announced the creation of our EV Solutions Group concurrent with the hiring of some of the most experienced talent in the industry. And not only energy management, software development, but also in very critically, energy storage system integration with an impeccable record of safety on over 100 projects deployed in 12 countries. We have executed and the team has executed very well I had a plan on our energy management software platform, which is not only supporting adoption of our gravity storage solutions for direct and licensing opportunities that were previously announced, but has also provided a platform to address the immediate market need in shorter duration storage. The energy management system also enables our ability to introduce new hybrid system solutions, combining for example, short duration with ultra-long duration green hydrogen, as referenced earlier with a large western public utility. I'll emphasize here that no energy storage company is providing customers this type of flexibility today except Energy Vault, and we will continue to advance our penetration and differentiation with these solutions to more economically and reliably address customer challenges. Our technology agnostic software solution provides customers with that flexibility, that flexibility needed to remain agile as their energy storage needs evolve over time. I frequently get asked about market development, and specifically this topic of short versus long duration. And where we see the market in the coming five to 10 years. Long duration storage and really unique ways to economically store energy over greater timeframes as we do with our gravity energy storage system are absolutely critical to ensure grid stability and resiliency, and will become more critical in the intermediate to long term as renewables become a greater percentage of power generation. Today, however, let's be clear over 90% of new grid scale energy storage deployment are in the two-to-four-hour duration range, with traditional lithium ion-based batteries being the industry standard to meet those needs. The recent IRA legislation has further strengthened the near-term demand for all forms of energy storage, and include premiums for non-lithium and localized US content for storage. Energy Vault will take advantage of this with our customers across the entire portfolio. We anticipate this market to continue growing over 20% annually for the next decade. And as highlighted by our rapid and extensive commercial progress, Energy Vault has proven we can and expect to be a significant leader in this area growing above that rate. As renewable energy penetration continues to increase the reliance and need for long duration energy storage will grow. Energy Vault is well positioned to meet our customer needs with our proprietary EVx gravity-based energy storage solution that is technically and commercially optimized for four to 12 plus hours duration, as demonstrated by early industrial energy and emerging sustainable aviation fuel adopters of the technology, as well as our list of strategic investors, which I mentioned above BHP, Korea Zinc, Saudi Aramco and Atlas Renewable interest in deploying gravity energy storage remain strong. We are keenly focused on deploying EVx for our customers, and our team dedicated to this effort, technically led by Andrea Pedretti continues to make significant progress on both cost and carbon footprint reduction and eventually carbon absorption. Using new technology to disrupt existing markets is definitely not new to this team and has been and will continue to be a key part of our culture. As such, with our energy management software platform at its core, very happy to introduce for the first time, green hydrogen is a third pillar of our storage technology portfolio to complement our existing battery and gravity technology offerings. The introduction of hydrogen into our portfolio was driven by a combination of market need for integrated short and ultra-long duration solutions, and our internal capabilities to meet this demand with our flexible software architecture. This first hybrid utility scale battery plus green hydrogen project award from a large public Western utility further validates our solutions-based approach and the power of our new software architecture. I want to emphasize that customers and investors of all sorts that this is a first announcement of its kind at this scale in our industry. While many players in the industry are taking a single technology siloed approach. What we provide is a technology diversification which can solve a wider range of use cases across both short and long duration needs and expand our total addressable market. We listen to our customers and prioritize investments to their needs. Customer validation of our strategy is reflected in our strong and steady commercial progress as we execute on our 2022 regional priorities for deployment in the US, Australia and China. And today, we're thrilled to announce further geographic expansion with our first inroads into the European market. We expect this commercial momentum to continue throughout the remainder of the year and into 2023 as we in the industry continue to benefit from macro tailwinds. Now let's turn to some of the specific deal highlights. We announced the official contract signing of a 275-megawatt hour project with Wellhead Electric and a 220-megawatt hour project with Jupiter Power. Engineering procurement construction of these first two projects has begun, and we remain on track for deployment and delivery during the second half of 2023. As previously stated, we recognize revenue on a percentage of completion basis, and expect to realize the bulk of the revenue associated with these projects, beginning this quarter and Q4 2022 and into 2023. We also continue to build out our pipeline with two additional recent awards in our battery-based solution business, one for a 250-megawatt 500-megawatt hour project with Meadow Creek in Australia, and a 410-megawatt 820-megawatt hour project in Europe with a large renewable energy developer. This is one of the largest projects announced to date. These projects extend our geographic reach and diversification, making our first deployment in Europe and our first shorter duration project to complement our long duration gravity project in Australia, two areas that are seeing significant growth in demand for energy storage. Australia's power markets are ideal for energy storage deployment is an increased power market dislocations over the past year have supported increased revenue opportunities for utility scale energy storage, an opportunity that our software and solutions-based approach is well positioned to benefit from. In Europe, energy reliability, security, and affordability are top of mind given recent events, and coupled with an effort to decarbonize the energy industry has accelerated demand in the region for energy storage technology. We are also in the final stages of converting our previously announced 440-megawatt hour project award with a large western utility into a signed contract for delivery in 2023. As I referenced earlier a few times the award of an energy storage project for 300-megawatt hour utilizing a hybrid battery and green hydrogen system is truly transformational and uniquely addresses the utility market need to critically ensure grid resiliency in the event of unforeseen power failures, some of which have resulted in loss of life in the past, the system will provide carbon free energy over 48 hours. This hybrid architecture also allows for concurrent grid forming and Blackstar capabilities and Energy Vault’s energy management system provides full system control and optimal dispatching among the batteries, hydrogen tanks and fuel cells. As I mentioned earlier, the project is one of the first and largest utility scale green hydrogen projects globally. I hope you've all been able to open the investor deck and specifically slide 6 to 10 where you will see some of the first pictures, we are sharing publicly of our 100-megawatt hour system and gravity in Rudong, progress continues to be made coming out of the ground now on this first global commercial deployment of our gravity based EVx system by our partners Atlas Renewable and locally through China Tianying. 25-megawatt 100-megawatt hour project is tracking the mechanical completion and commissioning as planned in the first half of 2023. Foundation activities were completed in August, and construction shifted to the fixed frame structural erection and power electronic staging. Energy Vault will continue to support the project in Q4 and into next year, with the power electronics startup, overall system mechanical completion and the commissioning of the final system and software to full operation. The work being done in Rudong by our partners is truly remarkable as you can really understand the size and scope of the project through the pictures published in the investor presentation. We're really excited by our work with Atlas Renewable and China Tianying as the China energy storage market continues to grow to meet the renewable energy storage targets established by the local and central government. During the quarter, we announced it in partnership with Atlas Renewable, EIIPC, which is a policy-oriented support organization of the Investment Association of China. In conjunction with China Tianying and selected provincial and local governments we will develop five national zero carbon industrial parks. The parks will all utilize Energy Vault’s gravity, energy storage technology, and its energy management software platform to support China's mandated climate change and environmental policy. The person outside has been confirmed for a two-gigawatt hour system located in the Inner Mongolia region. To remind all investors as well, we are monetizing this as a royalty stream going forward and China. Momentum in China continues to progress in real time. Just a few days ago, it was announced that China Tianying and Atlas together with multiple partners including China's Three Gorges construction, which is the largest private power provider in China, and the largest hydroelectric power company in the world will jointly build an integrated energy base supported by our EVx gravity, energy storage technology in BG city, and in China's [inaudible] province. Establishing this foothold and deploying our EVx in China is key as Bloomberg New Energy Finance, for example estimates that the Chinese market will be the second largest energy storage market in the world next to the US, but growing at a pace faster than any other region in the world. And local provinces in the region are all establishing aggressive energy storage deployment targets. China's latest energy storage development execution plan emphasizes testing of alternative energy storage technologies, including gravity energy storage systems, with the most viable long duration energy storage technology receiving more market share in the 2026-to-2035-year plan. Given our footprint and early mover advantage with a financially attractive and low risk licensed royalty model, we anticipate that EVx will play a large role in the Chinese market over the next decade, toward enabling the net carbon neutrality by 2060. I can't share with you how excited I am about the early partnership we developed in China, and having worked in China and three other industries before it never ceases to amaze me the speed and the innovation that China and its people can demonstrate and execute. And we're very excited to work with Chairman Yan from China Tianying, and Eric Fang, the CEO of Atlas Renewable. Back here, right in the USA, we're also thrilled to announce groundbreaking and commencement of initial foundation work and test piling activity for the 18 megawatts 36-megawatt hour EVx system in Snyder, Texas with ENEL Green Power. I think that's really demonstrates the flexibility of our EVx system to produce on a two-hour basis, let alone the longer durations of eight to 12 plus hours. We are happy to partner with the largest global IPP and ENEL Green Power to develop and deploy the first EVx system in the western hemisphere. And this validation of the technology should drive many more future deployments for ENEL and generally as a proof point in the US market. Shifting to Australia, we continue to make constructive progress on our announced strategic partnership with Korea Zinc and its portfolio of companies located in Australia. Last quarter, we announced the commitments of sight and feasibility planning with Arc Energy, the Australian wholly owned subsidiary of Korea Zinc for multi gigawatt hours of both long and short duration storage projects, supporting the sister company Sun metals Corporation in North Queensland, Australia, and we continue to make progress toward deployment here. As a reminder, Korea Zinc is a largest provider of zinc, silver, lead and a rare metal called Indium that's all mined on the continent of Australia. Sustainable aviation fuel provider, DG Fuels continued to exhibit positive progress as well and has been in the news recently. And while they await finalization of their DOE loan grant, they have announced significant offtake agreements in just the last 60 to 90 days, with Delta Airlines for 55 million gallons of sustainable aviation fuel annually for seven years, and Air France KLM for another 21 million gallons annually, beginning with a first expected delivery in 2026. Additional public announcements have been made in the last week by DG Fuels with an additional offtake agreement and naming a new lease site in the state of Maine for another facility. We are encouraged by the progress that Mike Darcy and his team are making as validated by the recent offtake agreements with some of the largest airlines in the world. We stand ready to deploy our EVx systems in Louisiana. And there are other announced locations to support their facilities when they come online given the critical need to reduce GHG within the transportation sector, and flight travel specifically. All of these new awards announced today, combined with our existing award pipeline and signed contracts will add 495 megawatt hours to our backlog and nearly five gigawatt hours of gravity, battery and hybrid energy storage awards for Energy Vault. This is a reflection of the differentiated value propositions we provide our customers that come from a world class team at Energy Vault. We will continue making significant commercial progress driving top line growth while also striving for operational and execution excellence to deliver results for our customers and investors. In that spirit, I want to highlight several key actions we have taken. First, we have recently announced key hires focused exclusively on the scaling and continuous improvement of our existing project management, construction, and deployment teams and coverage. Second, we're also partnering with strong engineering, procurement and construction companies with support from our partners and geographies of growth development. Third, our strategy to have an innovative and flexible software architecture empowers us to mitigate supply chain risk with our technology and a vendor agnostic platform that allows us to source all components from multiple vendors, bolstering our ability to deliver on time and on budget for our customers. We're highly confident in our ability to execute as our focus has always been on a smaller number of projects, but with larger scale and greater associated megawatt hours, as you have seen on our award announcements today. This enables greater operating leverage and economies of scale as we utilize our resources and allocate capital in the most efficient manner. Looking over the next several quarters, and in to the next year, our mandate and focus is absolutely clear. This is about execution. As we noted above, the several key hires recently made to help support our execution efforts. And I also want to take this opportunity to welcome a few of them of our new colleagues here on this call. In addition to Jan Kees van Gaalen as CFO, we brought in Dr. Craig Horne as Vice President of Advanced Energy Storage Development, responsible for the expansion of Energy Vault’s portfolio of storage solutions, and also E.B. Jensen as our Senior Vice President of Project Execution and Delivery of all of our portfolio projects and solutions. Our global infrastructure and commercial build out continued to progress with legal entity establishment underway in Australia, and China to complement our US and European presence. Additionally, we have grown headcount 18% sequentially, quarter-over-quarter, bringing our year-to-date 2022 headcount growth, to over 104% versus our year end 2021. Our focus on hiring retaining top talent in the industry lays the foundation for everything we do. And as we continue to scale and invest in the organization, I want to highlight the exceptional work that our employees have done on a day-to-day basis to put us on the growth trajectory that we are today. It really all starts there. And putting our people first allows our customers to get the very best from us. Lastly, I want to emphasize our commitment as a company and to the leadership team, to meeting or exceeding investor expectations. And quite simply doing what we say we're going to do, which can be difficult in this macro-economic environment for sure. As David will be sharing in more detail in a minute, I'm happy to reaffirm both our 2022 full year revenue and adjusted EBITDA projections, up $75 million to $100 million on the revenue side and minus $10 million to plus $3 million respectively on the adjusted EBITDA aside. In addition, we're also reaffirming our two-year aggregate revenue of $680 million through 2023. All of this is a reflection of our strong market adoption and commercial progress. And does visibility we have today into the timing and the magnitude of our project contracts awards, and the final deployment. I will now turn the call over to Jan Kees, our incoming Chief Financial Officer to provide a few introductory words, who will then turn it over to David Hitchcock, Energy Vault Interim Chief Financial Officer to cover our Q3 financial results in more detail.
Jan Kees: Okay. Thanks, Rob. Good afternoon, everybody. I'm delighted to have joined Energy Vault at this stage time. I look forward to working with all of you over the coming years. And with that, I would like to turn it over to David for the earnings call.
David Hitchcock: Thanks Jan Kees, really wish you the best of luck at Energy Vault and look forward to working with you during the transition.
Jan Kees: Thank you.
David Hitchcock: Let's turn to our financial results for the third quarter of 2022. Revenue in the quarter was $1.7 million, primarily reflecting revenue earned from our battery storage projects with Jupiter, which generated $1.2 million in revenue. We also recognized $0.5 million in revenue relating to providing construction support services to Atlas Renewable. Wellhead construction has begun and we expect to begin recognizing revenue for that project in the fourth quarter. Third quarter 2022 gross profit was $71,000 driven by the mix of construction support services revenue for Atlas and the initial project revenue we recorded in the quarter. Through nine months, we have reported revenue of $45.6 million driven by the Atlas licensing agreement booked in Q1 and gross profit of $43.4 million. Total operating expenses in the quarter were $36.3 million, up $13.9 million versus the $22.4 million we reported in Q2 of this year. Stock based compensation was $10.9 million in Q3, up $4.2 million versus Q2 2022 and depreciation expense was $5.2 million, up $4 million versus Q2 of this year. We also recognized an asset impairment charge of $2.8 million in Q3. The increase in depreciation and the impairment charge are both related to the decommissioning of the CDU, the EV1 tower in Switzerland and associated brick machines in the quarter, excluding these non-cash expenses, operating expense were up $2.9 million versus the prior quarter. Sales and marketing costs for the third quarter of 2022 were $3.8 million compared to $1.9 million in Q2 of this year. Excluding stock-based compensation sales and marketing expenses were up $63,000 sequentially. Research and development costs for the third quarter of 2022 were $16.7 million, compared to $9.8 million in Q2 of this year, excluding stock-based compensation and the depreciation which I just covered, R&D expenses were up $1.8 million versus Q2, driven by an increase in EVx test based and other design-based activities. G&A for the third quarter increased to $13 million, compared to $10.7 million in Q2 of this year, excluding stock-based compensation G&A was up $1 million versus Q2 driven primarily by incremental headcount, legal and other professional fees. In line with our business plan, we expect that our operating expenses will continue to increase on a sequential basis, as we further expand globally and invest in the overall growth of the business. Operating loss for the third quarter of 2022 was $36.2 million, compared to an operating loss of $22 million in Q2 of this year, driven by increased stock-based compensation, increased depreciation expense, and the impairment charge. Through nine months, our loss from operations is $37.3 million. Third quarter 2022 adjusted EBITDA was a negative $17.2 million, compared to a negative $14.2 million in the second quarter. Our earnings release and 10-Q which we filed this afternoon, include a bridge from net income to adjusted EBITDA, the key non cash or non-recurring items that we added back were $10.9 million of stock-based compensation, $5.2 million of depreciation expense, and the $2.8 million asset impairment. The key non cash or non-recurring items that we deducted were $6.7 million in gains from the change in fair value of our warrant liability relating to our public and private warrants and roughly $1 million in interest income. On a year-to-date basis adjusted EBITDA is a negative $184,000. As of September 30, 2022, we had approximately $274.7 million in cash, cash equivalents and restricted cash leaving us well positioned to continue to progress towards our growth objectives in 2022, and beyond. Restricted cash as of September 30, was $25.1 million, driven primarily by the surety requirements on the projects we are starting to deploy. In Q3, we use $20.9 million of cash from operations. I'm pleased to report that as of August 2, 2022, we do not have any public warrants outstanding. And beginning in Q4, there will no longer be a P&L impact from public warrants. As of September 30, 2022, we still have $5.1 million outstanding private warrants, which are required to be re measured to fair value each period. Finally, just as Rob said, I would like to reiterate our 2022 revenue guidance in the range of $75 million to $100 million and adjusted EBITDA in the range of a loss of $10 million to a profit of $3 million. We remain confident in our ability to achieve our guidance driven by visibility on project progress and continued commercial momentum. We expect to end the year with cash position of $260 million to $280 million. I will now turn the call back over to Rob.
Robert Piconi: Great. Thank you, David. Look, I am really pleased with where the company has gotten to at this point in just our first two quarters here as a public company, especially in this environment. And that's really a tribute to every employee in the company and the leadership team here that leading us day to day, while clearly speed and demonstrating our speed to market has been has been quite phenomenal this year. The rate of our commercial progress, we understand the task in front of us is to execute and deploy on our projects. And we remain steadfast in our commitment to our customers and shareholders to drive sustained success. With that operator, we are now ready for questions.
Operator: [Operator Instructions] Our first question comes from Joseph Osha with Guggenheim.
Unidentified Analyst : Good evening. This is actually Hillary on for Joe. And I just -- I wanted to start with slide 5. First off, thank you, I really appreciate the additional detail you guys are providing on the pipeline. And just kind of wanted to dig in on that two-gigawatt hours of the shortlisted projects and any characteristics details you can provide on what those projects look like, as well as what a reasonable assumption might be for converted that -- converting that into awarded business.
Robert Piconi: Great. Thank you, Hillary and it's good to speak to you again. We're early days here is we're making proposals on getting conversions through I think we've had a quite a good rate thus far as we get shortlisted on projects. Thus far, we've been able to take most of those over to our awarded category and convert them into bookings. So generally, we feel very strong about our ability to convert those. I think we'll have more history here as we go forward in the next few quarters. And I think we'll have something to point to in terms of our success rate. Thus far, I'll emphasize that we've been very focused on a less project but large projects. So what that means is we can focus Hillary, our resources to ensure we're providing a lot of the technical differentiation around the design, or layout or any energy density considerations on a project that first allows us to get shortlisted and then allows us to proceed to something that actually is awarded. And I think the Wellhead contract, you might remember in the win that we had there was all about our technical team and Akshay Ladwa and his team here locally in Maryland and Virginia, supporting that customer on an optimized design to really achieve the maximum output. So I think that's been fundamental. And that's how we're using our resource. The other thing to note is that some of the same customers that we've announced awards with already, you can assume are included in both the shortlisting and even the submissions made. So if you think about that, if they've had good experience with us, and if we execute well, and we're continuing to bid within their pipeline, we become the devil they know very quickly, and therefore, it's a lot easier for us to move through that process. So we're very happy with our hit rate and our conversion rate thus far, we're batting very well. And I expect this is something that we'll be able to provide after, the initial four quarters of progress, something that we can point to look at, something that can be measured over time. Hopefully that's helpful to you.
Unidentified Analyst : Very helpful. Thank you. And then just second question for me, as we look to next year with the various moving pieces on the revenue side, any color you can provide on what the margin profile for the business looks like next year would be helpful. And that's it for me. Thank you.
Robert Piconi: Sure. Well, look, I'll just to give you a high-level flavor, and then David will jump in as well. We have very good visibility into the project deployments, these initial deployments themselves, where we're going to be recognizing revenue on a POC basis. And that has given us the visibility to reaffirm that large revenue uptick next year. So number one, the margins on those initial projects, we have pretty good visibility too on a CapEx basis that are going to be in the mid to high single digit basis on initial deployments. Now, what that won't include are various other streams of both revenue and margin related to software related after those projects are deployed to the long-term service agreements, which have significant margins on those. And also any additional services that we're going to be deploying on those customers, as well as any other costs benefits from volume. So I'd expect we're going to be in that range as we also finalize the product mix, including, for example, by the end of the year, most likely into Q4, we expect to start seeing some of the benefits of the license agreement into royalties. But still a lot of work we're doing in modeling those activities with our customers. And for example, in China looking at various tariff structures, that we're going to be a result of those multi gigawatt hours of projects that Atlas Renewable announced. Is that help to start?
Operator: Our next question comes from Thomas Boyes with Cowen.
Thomas Boyes: Hi, thanks for taking the questions, a lot of great information and definitely appreciate kind of the more holistic approach in both the long duration and short duration part of the battery storage offerings. Could you actually just talk a bit about the battery supply chain, your strategy there, you have a lot of announcements, obviously, and how much have you contracted? And maybe over what timeframe do you see that coming in?
Robert Piconi: Sure, all right, it's a great question. Look, as we get to a closure and assigning both from an award perspective, so even before we get to the contract booking as a part of that process from moving from shortlisting to award, and then award to contract booking, you can assume that we're securing in line up that battery supply. Now, in some cases, that involves our customers that may have already secured it. So through their relationships, and have asked us to play an integrator role. So we'll be clear on that a little more going forward on a project-by-project basis. In other cases, through our direct involvement and relationships in the battery supply chain, we will get commitments on that supply, including all the scheduled commitments that we have to make to our customers to deploy before we actually sign and book that order. So to emphasize, we line all that up in advance, we are not in the business of taking risk in that sense both from a schedule and any specific individual rare materials or raw materials as a part of that process. So generally, we have pretty good visibility and line of sight with our partners. And then it just becomes a matter of execution. And as we've mentioned, on this call, we've continued to hire and put in place a very experienced team to manage the execution side of that. So we feel good about that. I'll also note that the high volume and the size of the project we mentioned, so less projects, but very large, that's given us the ability to carry a lot of weight and volume as we talk to suppliers. So for us, it's very important as we look at any project, we aren't in the game here of just buying market share, we look at profitable growth, we don't chase multiple projects, we are focused on large projects, projects with customers that have strong capability to pay and a strong credit rating. And a lot of those come from prior relationships of our very experienced and domain rich team. So that's how I characterize a bit around the battery supply chain.
Thomas Boyes: Perfect. And maybe one thing that I thought was interesting, of course, for analysis, just now that that project is moving forward with the limited notice to proceed. Are you still using or there's the plan to still use the retired wind blades in deeper construction. And then any insight you could have around the progress there testing you done. That should be helpful.
Robert Piconi: Yes, that's an important part. It was important part of the beginning of the relationship that we formalized with an ENEL, almost a year and a half ago when he made the first announcements about the Wind blade collaboration. And ENEL dose has wind blade decommission capacity there in the United States, and they're in Texas. So as a part of our recipe for the bricks, utilization of that wind blade is important. And this will be one of the actually the first deployments of our gravity solution with the recycled wind blade as a part of our recipe.
Operator: Our next question comes from Brian Lee with Goldman Sachs.
Unidentified Analyst : Hi, Rob and Laurence, and David, thanks for taking the questions. This is Grace on for Brian. I appreciate all the color in prepare remark. I just first question on your 2-gigawatt deal with Atlas. And just curious how these systems should be accounted for within Energy Vault, i.e. how are you going to get pay on projects developed by Atlas? I know you talked about monetizing it royalty framework going forward. But just can you give us a bit more color, for example, like how much do you get paid per megawatt deployment? Thanks.
Robert Piconi: Sure. Well, let me remind you of exactly what we announced with Atlas and then David will cover exactly how we monetize it as I mentioned. What we announced with them is both a license deal and a royalty deal. You'll recall that they made a $50 million investment into our IPO first of all, secondarily as a part of our relationship, we announced a license and royalty agreement that began with a $50 million payment of a license. And I'll note that all $50 million of that is now in our bank accounts for this year, there was also a royalty portion of that agreement as well. And, David, you want to cover that to the what's been announced on the two-gigawatt hour that Atlas Renewable announced with their partners in China and how we monetize that?
David Hitchcock: Sure, for the license agreement that we signed and announced in the first quarter, the royalty stream on this business is going to be 5%. As Rob mentioned back during his prepared remarks, what you've got to remember here is we're just at the initial startup phase of this, and it's a new market. So we're working with our partners in China to understand the timing, and more importantly, the tariff structure for the business that will take the 5% royalty off of to have a much clearer understanding of what their revenue stream will be from a dollar perspective. I would expect as we move into 2023, we'll be able to talk more in detail about that.
Robert Piconi: And Grace, just add the other thing around that 5%. And what is it applied to. So to be clear, that is a 5% applied to the total project. So think about that it's a total project revenue, that 5% is off of that total project value, so not a lower item down the income statement.
Unidentified Analyst : That's very helpful. I guess second questions on your 2023 revenue outlook. How should we think about a cadence here? Is it going to be more back half weighted? And also, can you talk about like what you embed in your 2023 outlook regarding project delays and potential battery constraints? And also how many projects are connected to solar? If so, are you seeing supply risk on the solar side that may have pressed on product timing, thanks.
Robert Piconi: So let me address the last two, the latter two, and David will go back to the first item. So relative to any potential delays and what we're expecting or what we're building in. Right now, with our current contracts on the batteries, and the delivery mechanisms. All the indications are very strong of our suppliers meeting, what we've agreed to and we're seeing that, in fact, here in this very first quarter, with the type of project size, Grace, that we have, we will get priority potentially over others, because of the nature of the volume that we have. So if something moves with another customer, we might get some priority, if there is any excess capacity and very candidly, that's what we're seeing with the relationships and the interactions we're having with our partners. So we build in contingency. So into our plans, we take very seriously our schedule commitments, because they do come with liquidated damages just like our customers, the independent power providers, they have their own liquidated damages that they have to sign up to with public utilities. So we build in the appropriate amount of, I would say both contingency as well as incentives. And we have examples with our customers where they work with us on actually financially structuring in incentives, meaning financial incentives for us to meet or exceed those schedule milestones. So we've used a few different mechanisms in that space. I'll reference that we do that with a very seasoned and experienced team that's done this before. If you look across our leadership team, and not only with the addition of E.B. Jensen who has 35 years plus 100%, in energy management, project, management himself, but all of us across the leadership team have had significant experience in the EPC world and executing on large projects. So we get the risks that are inherent with what we've taken on, we build inappropriate contingencies, we have to manage that execution risk. The third item you mentioned was around solar and what are we seeing around the complement of solar to storage and do we have any concerns in that space? We have a very interesting portfolio of projects, we have with some of the first ones announced one of them is actually a hybrid project combined cycle natural gas peaker plant with a battery storage program that's out in California with Wellhead, we have other pure play solar and storage that we see again, we are not responsible for that solar development portion. But in the early cases, those solar plants actually are already operating and we're looking to capture that excess solar in general. So we don't -- and everything we're seeing it right now, and even some of the projects have been awarded, we're actually looking to store capacity that already exists, and is not tied to any future solar development projects. David, you want to hit the first question of those sort of the ran through the year?
David Hitchcock: Sure. Obviously, we're still not -- still in the middle of not complete with our 2023 planning process. So more to come there. That said, we do expect revenue to step up through the year, with Q1 being the lowest quarter for the year based on what we're looking at right now. Remember, what we've said about the first two projects that we've booked in Q3, with Jupiter Power and Wellhead Electric, which are roughly $200 million. Rob said earlier in his prepared remarks that those get delivered in the second half of the year. So we would expect those to get off to a good start in the first half of the year. And then obviously, as we go Q2 through the rest of the year, we'll overlay the bookings we expect in Q4 and Q1.
Operator: Our next question comes from Brian Dotson with Chardan. Capital.
Unidentified Analyst : Yes, thanks very much for taking my question. So exciting news on green hydrogen, I suppose as you're looking at over the next couple of years, how do you expect that technology in that business to evolve and what other energy storage technologies are you currently considering?
Robert Piconi: Thanks. Look, we're really excited about that, as you probably heard from the prepared remarks, I think we've referenced that about three different times because it is exciting, and not only exciting for the first of a kind of this type of architecture in the energy storage space, but the size of it, 300-megawatt hour and you're complimenting a short duration need with a 48-hour storage need. And these are the types of things that hydrogen and green hydrogen, of course, these type of new hybrid architectures are going to enable things that I don't think even our customers understood, were going to be possible. And in fact, in this case, with this specific utility, we had proactively brought this to the table based on the problem that they were trying to solve. And I really want to highlight, and thank our commercial team and working with our technical teams, in this case, not just taking what we have in our portfolio and trying to shove something down our customer's throat, but really looking at the problem that they're trying to solve, looking at different technologies that are out there to solve it. And bringing those to the table through our software architecture. That is something we are doing in the industry that no one else is doing. No one else is providing hybrid architectures, long and short duration. And until now, you've pointed out the green hydrogen architecture. So specifically to your question, for certain applications, where you need a, you can call it sort of an insurance policy on some unforeseen event that could be weather related. It could be related to some other shortage or shortfall in power that may have long term implications. We, I won't go over the examples we know the last few years, but they have a capability with green hydrogen, in a combination of a fuel cell to provide a longer duration need to ensure that people can keep the lights on and most importantly, I guess, heat and in some cases in the heat, air conditioning. I think you're going to see an application of this type that can apply in many different architectures. So I would say, specific to this type of application we see other uses for it. I honestly believe a lot of customers weren't in utilities aren't aware that this type of combination could be brought to bear. And then the second part of your question was how do we see hydrogen evolving? Look at it, we don't have any crystal ball just suffice to say that we think a little differently about how we serve customers. It doesn't start with our product portfolio. It starts with the problem that we're trying to solve. And that means with our software, we can bring new technology disruptions to bear and I think this is an example and I do believe hydrogen is going to play an important role, especially given what we've seen in the geopolitical space where, full lines of power can be disrupted here, given what's happening country to country. As a result, we need alternatives and I think hydrogen is going to play an important role. I would say most probably don't think of hydrogen relative to specifics storage applications in general, but we do see applications as you've heard today and will continue to see I think hydrogen play an important role in future storage needs. You ask the final question about other technologies. We are and continue to evaluate, new technologies that come, we have an R&D program that does look a little bit further out. So more there are, Andre Pedretti leads that. We don't limit that to our own thinking. So we do look at partners in the space and we try to stay pretty close to what's happening in where new investments are going in earlier stage investments are going to make sure that we're considering all alternatives for our customers. And we'll continue to do that. But I have nothing specific more to say here publicly on those at this time.
Operator: Our next question comes from Noel Parks with Tuohy Brothers.
Noel Parks: Hi, good afternoon. How are you doing? Good. Just a couple of things. I also wanted to touch on the green hydrogen announcement. Just trying to sort of wrap my head around. Still a year ago, when the EVS group is being formed. I'm just kind of get a sense at what point, were you already thinking about the application of the platform to integration with a hydrogen project? I'm just curious. I assume the architecture or the design could more than support it. But just trying to get a sense of at what point you had that functionality on the roadmap as another element to be handled within the storage integration?
Robert Piconi: Sure, it's a great question. And the answer may surprise you. But you really need to go back to the founding of this company to understand and from our division we had the important software was going to play, the role software would play and how we thought about energy and utility grids evolving. And the first application came very clearly to way where we had to automate the operation of our first gravity solution. And do that with both machine vision computerized control and do that. Also with AI, as we looked at more dynamically managing the charging and the dispatching. I'll remind you also that Bill Gross was a Co-Founder here. And for those of you that know Idealab, and Bill Gross, most everything he's ever done, has a lot to do with software in particular, the last 15 years a lot of the innovations that he's developed to optimizing, for example, the solar panels and concentrated solar power. And as it looked at, the concentration of that power as the sun moved, using the software to move those panels with the sun. It's a lot of that application, as I said, started with gravity. But our vision was its software, in a very similar way to telecommunication networks and how software moves data around to our devices around the world moves it to the cloud for storage, the role that data centers now are playing in a very similar way. We always believed in the vision that software was going to play that role in moving electrons around. And we also understood very early on, Noel that the customer needs were going to be very, very different in the applications very different. And individual customers would have even multiple needs. And even some of our industrial customers that you would think are just in it for long duration they invested in our company. They also have short duration needs, for example, and we'll talk more about that in future quarters. But in general, I'd say it's a software and what we saw the announcement we made a year ago with the team that joined and that we announced with EVS Solutions as a result of us executing on the vision and then that team accelerating and executing very well for us to meet these more near term needs on the shorter duration side and hybrid systems.
Noel Parks: Great, well for questions on -- models from that are, and I don't know if you can quantify this, but that would imply this perspective, this vision goes so far back a pretty substantial lead compared to other competitors. And I have no doubt there's a long list of people who are a long way back. Can you sort of characterize maybe out there what sort of competitor in the industry might be sort of on the same track, just wondering what's the soonest that somebody might begin to approach a platform like yours?
Robert Piconi: Yes, look, we stay pretty focused on what we're doing, and heads down and executing our strategy. And as you heard today, it's really served us well reflected in one thing, it's customer wins and customer awards. That's really how we measure ourselves. I will say, we don't really see anyone else that's really doing what we're doing out in the market. But our focus is on executing our plan and strategy. We are very cognizant of what's happening in the market, we stay tuned, we're, part of our core value starts with humility, that allows us to never sort of drink our own Kool Aid, and get too stuck around what we're doing. And as a result of that, we are cognizant of things that are happening around us. But in general, we're going to continue to build and accelerate and invest heavily in the software development side of our solutions. And anywhere we see innovation, where we can bring some to the table on the hardware side, as we've done with gravity and other things that we're working on. We'll go ahead and do that where we think it makes sense.
Noel Parks: Great, and just wanted to clarify one thing that came up before, if from -- if you're looking at your confidence about the fourth quarter and the full year revenue guidance, is it then revenue from modeling and royalties that are the most visible element of what you're going to be booking for the quarter?
Robert Piconi: Well, yes, that's what we're doing for this quarter, as a result of some of the deals you heard announced and execution to some of those initial deals with Jupiter and Wellhead, for example. It also, as we've said, in our earnings announcement, we do have expansions of some of the gravity projects and in a territorial expansion of that on a licensing basis there in the quarter. So I think that the project execution on those things and final things result of what we announced earlier this year and some new territorial expansions in the quarter for gravity is what's making up that revenue range that we shared.
Operator: Thank you. At this time, I would like to turn the call back over to management for closing comments.
Robert Piconi: Great. Well, look, I want to thank everybody for tuning in here on the call. I also want to again, thank our employees that are out there every day, tremendous execution starts with our customers, we focus there, commercial teams done an amazing job also in the teamwork and partnership with our technical teams, and all the support areas, the functional support, legal, finance, all that it takes to make these things happen and get deals across the table. People listening in on this, understand that. And what that takes and tremendous compliments to the team there at Energy Vault for pulling that off. We thank everybody for tuning in on the investor side. We look forward to continued updates here next quarter formally and in between then what we're going to be sharing with our progress. So thank you very much.
Operator: Thank you. That concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation.